Operator: Good afternoon, and welcome to the Western Union First Quarter 2013 Earnings Conference Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Mike Salop, Senior Vice President of Investor Relations. Please go ahead.
Michael A. Salop: Thank you, and good afternoon, everyone. On today's call, Hikmet Ersek, Western Union's President and Chief Executive Officer; and Scott Scheirman, Executive Vice President and Chief Financial Officer, will discuss the company's first quarter results and then take your questions. The slides that accompany this call and webcast can be found at westernunion.com under the Investor Relations tab and will remain available after the call. Additional operational statistics have been provided in supplemental tables with our press release. Today's call is being recorded, and our comments include forward-looking statements. Please refer to the cautionary language in the earnings release and in Western Union's filings with the Securities and Exchange Commission, including the 2012 Form 10-K, for additional information concerning factors that could cause actual results to differ materially from the forward-looking statements. During the call, we will discuss some items that do not conform to Generally Accepted Accounting Principles. We have reconciled those items to the most comparable GAAP measures on our website, westernunion.com, under the Investor Relations section. All statements made by the Western Union officers on this call are the property of The Western Union Company and subject to copyright protection. Other than the replay noted in our press release, Western Union has not authorized and disclaims responsibility for any recording, replay or distribution of any transcription of this call. I would now like to turn the call over to Hikmet Ersek.
Hikmet Ersek: Thank you, Mike, and good afternoon. Our first quarter results are largely consistent with our expectations and have provided signs that we are making progress against our key strategies. As we outlined last quarter, we expect 2013 to be a transitional year as we make pricing adjustment and other investment to enhance our competitive position and drive future growth. We are focused on 3 main strategies in 2013: strengthening our Consumer Money Transfer business; driving growth in customers and usage in business-to-business; and generating and deploying strong cash flow for our shareholders. So far, results are in line with the expected impact of the initiatives, although we are also being impacted by some compliance and regulatory-related actions in various parts of the world. In Consumer Money Transfer, our experience shows that price reductions lead to revenue declines in the initial 12 months and revenue increases thereafter. Early transaction results indicate our strategic pricing actions are working as planned, and we feel positive about the results. For example, in November of last year, we implemented the U.S. to Mexico pricing change. Banco de Mexico recently reported there is a softening in the Mexico remittance market in early 2013. However, our Western Union brand transaction growth has accelerated from a 2% increase in the fourth quarter of last year to 9% in the first quarter. We are also seeing very good results on our Africa inbound pricing actions and recently started to see improvement from Latin American and Caribbean pricing as awareness is beginning to spread. The westernunion.com online pricing actions are yielding very strong results, and overall, westernunion.com Money Transfer transaction growth accelerated from 46% in the fourth quarter of last year to 60% in the first quarter. As of end of the quarter, we had initiated about 75% of the planned pricing investment for the year, and overall, we are meeting our transaction objectives. Entering the first quarter, we had completed about 50% of the planned pricing investment. In the quarter, transaction in these priced corridors increased in the low teens. Excluding the digital pricing actions, transactions in this quarter increased in the mid-single digit, up from flattish prior to the pricings. So just to state again, our pricing actions are working as planned so far. Our overall Consumer-to-Consumer transaction growth in the quarter was negatively impacted by the Vigo location closing last year, softness in some markets and other compliance-related actions. I should note that in addition to the Southwest Border, we have been implementing compliance and fraud prevention enhancements in various other countries, and we are continuing to expand them. These actions have impacted our results, but we are committed to best-in-class programs and we believe, over the long term, enhancements in these areas will be beneficial for our business and customers. Aside from pricing and compliance actions, we made progress in many other activities designed to strengthen Consumer Money Transfer. We are expecting our -- we are expanding our global network. As the regional leadership teams around the world are now reporting directly to me, we have further increased our emphasis on aggressively adding new points of presence. I just visited Mexico last week and saw that we are starting to gain traction, rebuilding our agent network there. We recently signed several new agents, including financial institutions such as Bancoppel and Banorte, as well as nonfinancial national retailers. Combined, these signings will give us over 10,000 additional agent locations in Mexico once they're fully implemented, which means doubling our network in the country. We also recently signed Carrefour, a major retail chain in Argentina for both money transfer and bill payments, and we also will soon be adding Alexandria Bank in Egypt, which nearly triple our location network in this country. In addition, in the U.S., we completed multiyear renewal agreements with Safeway, adding bill payments and money orders to our existing money transfer service and with Pay-O-Matic also. We are seeing money transfer services are now available for bank customers at over 103,000 ATMs, and we continue to add access through mobile phones. We now have 19 active mobile phone partners. And mobile apps access to westernunion.com is available in the U.S. and Australia. We continue to explore new ways to leverage our network and assets to provide more services. For example, I recently visited Haiti, where we are adding a new type of service allowing government social payments to be distributed to Haitian parents, students and senior citizens through Western Union agent locations across the country. And we are further expanding capabilities at our electronic channels, which had 18% revenue growth in the quarter. westernunion.com is acquiring customers at a fast rate, as evidenced by 60% increase in money transfer transactions in the quarter. Even our U.S. originated online transactions increased over 70%. We are consistently seeing over 80% of first-time online customers being new to Western Union, meaning new online customers in the past 12 months had not used our brand in the prior 12 months. This gives us confidence that our online channel is not significantly impacting our traditional retail business. Many capabilities are being rolled out, which should further aid our online growth, including new platforms, new mobile apps, direct-to-bank payouts, more funding options, new countries and more robust risk management tools. These features help drive customer acquisition and conversion, and we expect westernunion.com transaction and revenue growth rates to accelerate as we move forward. Our electronic account-based Money Transfer transaction through banks increased 45% in the quarter. We now have almost 70 banks active with the service, including most recently, Bank of Montreal in Canada. Overall, we expect Consumer Money Transfer trends to improve each quarter throughout the rest of the year. This growth should be driven by completion of our pricing actions, increased traction from the actions, added capabilities in online and agent location expansion. We continue to expect our Western Union brand C2C transaction to increase mid- to high-single digits for the full year with good momentum in the second half. Our second key strategic initiative for 2013 is to drive growth in customers and usage in business-to-business. I am pleased to report that Western Union Business Solutions revenue increased 7% in the first quarter. Although global trade growth is still restrained, our business improved as we benefited from enhanced go-to-market processes. The quarter's growth was driven by incremental hedging activity from customers and the addition of the French Travelex business, which we completed in the second quarter of last year. While Travelex integration continues, we now have a strong business team in place focused on driving new sales and retention. We continue to introduce new products and services, such as a new cash management dashboard tool for SMEs, new NGO and university-focused services and currency options in the U.K. And we plan to add new markets this year as well. There are still many actions to be executed in Business Solutions and quarterly results may vary, but we feel we have started to gain some momentum with our teams and sales processes and still believe this is a great long-term opportunity for Western Union. Our third strategic initiative for 2013 is to generate strong cash flow and deploy it for our shareholders, a key part of our commitment to deliver increased shareholder value over the long term. In the first quarter we generated $237 million of cash flow from operating activities and returned $260 million to shareholders. This consisted of $100 million -- $190 million of share repurchases and $70 million of dividends. We expect to generate $900 million of operating cash flow for the year, with $700 million returned to shareholders. This represents returning to shareholders over 8% of the current market capitalization. Overall, we are on track to meet the full year financial outlook we provided in February. We expected the first half of the year to be challenging due to impact of the pricing actions and other investments and initiatives. As these actions take hold, we are beginning to see positive trends develop, and we believe transaction and revenue growth rates will improve as we move through 2013. In the second quarter, we will complete our planned pricing investment and continue to market our actions. We will also execute against our many growth drivers in online money transfer at strategic agent location and implement the Business Solutions strategies to add customers and usage. Since we are uniquely positioned to be in 200 countries, we have a view of the mix indicators of the global economy and global regulatory environment. This makes me believe the 2013 environment will be challenging, like last year, but I remain confident that the actions we are taking will lead to return to revenue and profit growth in 2014. We believe we will exit 2013 with strong momentum, and we look forward to reporting on our progress throughout the rest of the year. Now to give you a more detailed review of the financial results for the quarter, I will turn the call over to Scott.
Scott T. Scheirman: Thank you, Hikmet. As mentioned, our strategic actions are tracking to our overall objectives, and we have affirmed our full year financial outlook for 2013. In the first quarter, we reported total consolidated revenue of $1.3 billion, which was down 5% compared with the year-ago quarter or 4% on a constant currency basis. As expected, the revenue decline was driven by the C2C segment as a result of the price reduction in compliance-related changes. Business Solutions delivered a solid quarter with 7% revenue growth. In the Consumer-to-Consumer segment, revenue decreased 7%, primarily due to the price reductions. The C2C revenue decline also included negative 1% impact from currency and a negative 2% impact from the Vigo and Orlandi Valuta brands, which are still being impacted by the compliance-related changes from last year. We will face negative comparisons for Vigo and Orlandi Valuta until we anniversary those actions in the middle of the third quarter. Western Union branded transactions increased 2% in the quarter, although overall transactions declined 2%. Year-over-year comparisons in the quarter were challenging as we had relatively strong transaction growth of 7% in the first quarter a year ago. As Hikmet mentioned, we are pleased with the progress we are making on the pricing actions. Total transactions in the corridors where we initiated price reductions prior to the beginning of the first quarter increased in the low teens in the quarter. Excluding digital, transaction in these corridors increased in the mid-single digits, and we expect trends to accelerate as we build awareness. In the first quarter, the transaction growth benefit from the price reductions was partially offset by the impact of compliance-related actions and some general softness in certain markets. In addition to the Southwest Border change that's affecting Vigo and Orlandi Valuta, we continue to invest in and enhance our anti-money laundering compliance and fraud prevention practices in the U.S. and other markets around the world. These actions include enhanced procedures around areas such as real-time risk assessment, customer callback and verification programs and other fraud prevention activities. Overall, C2C cross-border principal declined 3% in the quarter with no impact from currency, while Western Union branded cross-border principal increased 1%. Total principal per transaction declined 1%. Global agent locations increased to 515,000 as of the end of the quarter. Increasing the expansion of our points of presence going forward is an important part of our strategy to provide more choice and convenience to our consumers. The spread between C2C transaction and revenue declines in the quarter was 5 percentage points, including a negative 1% impact from currency. For C2C, the impact of net price decreases was approximately 6% in the quarter, while mix had a positive impact of approximately 2%. Turning to the regions. C2C revenue in the Europe and CIS region, which represented 21% of total company revenue, decreased 6% year-over-year with no impact from currency. Transactions in the region were down 1% compared with the year-ago quarter. Germany continues to grow, and pricing actions from Europe to Africa are working well. But Southern Europe and Russia remain challenged, and business was also impacted by some compliance-related actions in the U.K. and Spain. North America revenue declined 15% from the prior year, while transactions were down 7%. The region represented 19% of total company revenue. The transaction decline in North America is primarily driven by the Vigo and Orlandi Valuta brands, where revenue was also impacted by price reductions and declines in higher principal sends in U.S. domestic money transfer. Domestic money transfer revenue was down 2% on transaction growth of 5% in the quarter. Although we continue to see growth in the low principal bands of domestic money transfer, from a revenue perspective, this is offset by declines in high principal bands. Mexico revenue declined 32% and transactions decreased 16% in the quarter, as expected. The revenue decline was driven by the compliance-related reduction in Vigo and Orlandi Valuta locations last year and by pricing investments. For the Western Union brand, Mexico revenue declined 20%, while transactions increased 9% in the first quarter. The Western Union brand is growing faster than the market, which declined slightly in the first 2 months of the year according to Banco de Mexico data, and our pricing actions are providing the lift in transactions we expected. Revenue in the Middle East and Africa region was flat compared to the year-ago quarter with no impact from currency, while transactions grew 4%. Asia Pacific region revenue was down 5% in the quarter with no impact from currency translation on flat transactions. The Latin America and Caribbean region revenue declined 7%, including a negative 3% impact from currency. Transactions declined 10% in the quarter. Trends in the region were negatively impacted primarily by Vigo declines and further limitations we placed on our business in Argentina to manage currency exposure. westernunion.com C2C revenue increased 13% on a reported basis with no impact from currency. Transaction growth accelerated significantly to 60% as customer acquisition continues to be driven by new capabilities and marketing, customer conversion improvements and pricing investments to enhance the value proposition. Total electronic channels revenue, which includes westernunion.com, account-based Money Transfer through banks and mobile, increased 18% in the quarter. Electronic channels represented 4% of total company revenue, up from 3% of revenue in the year-ago period. In addition to the strong growth from westernunion.com, transactions from account-based Money Transfer through banks increased 45%. Prepaid revenue, including third-party reload, was flat in the quarter. Our prepaid cards were available at approximately 44,000 retail locations globally at the end of the quarter, including approximately 2,500 locations outside the U.S. And we continue to explore new avenues and partnership models to introduce our cards around the world. Moving to the Consumer-to-Business segment. Transaction trends were similar to the fourth quarter. Revenue declined 1% in the quarter, including a negative 4% impact from currency translation. Continued growth from South America and the U.S. electronic business was offset by declines in the U.S. cash walk-in business and some lower pricings as a result of pass-throughs to customers of Durbin-related savings. Business Solutions revenue increased 7% compared to the first quarter a year ago with no impact from currency translation. Business Solution services are now available in 31 countries, with China being the most recent addition. Turning to the consolidated margins. The first quarter consolidated GAAP operating margin was 22.4% compared to 23.9% in the prior year period. Compared to last year's first quarter, the margin was negatively impacted, as expected, by the pricing-driven revenue declines, as well as increased compliance costs and strategic investments, primarily in Digital. These impacts were partially offset by improvements in Business Solutions profitability. We continue to expect the full year operating margin to be approximately 20%, which is lower than the first quarter due to the timing of expenses around cost-savings initiatives and other investments. There were approximately $4 million in expenses related to cost-savings initiatives in the quarter, while the full year projection remains around $45 million. EBITDA margin was 27.1% compared to 28.4% a year ago. Reported earnings per share in the quarter was $0.37 compared to $0.40 from the prior year. The C2C operating segment margin was 25.4% compared to 27.7% in the same period last year. The margin was impacted in the quarter primarily by pricing-driven revenue declines, digital and other strategic investments and increased compliance costs. The Consumer-to-Business operating margin was 24.7% compared to 26.5% in the prior year period. The margin was negatively impacted by Durbin pass-throughs and mix compared to the year-ago quarter. Business Solutions operating loss improved to $6 million for the quarter compared to a loss of $15 million in the year-ago period. The current quarter was positively impacted by revenue growth, cost synergies and lower Travelex integration expense. The first quarter $6 million loss includes $15 million of depreciation and amortization and $4 million of Travelex integration expense. Depreciation and amortization in last year's first quarter was $15 million, while integration expense was $6 million. Turning to our cash flow and balance sheet. Cash flow from operations for the quarter was $237 million, while capital expenditures were $38 million. At the end of the quarter, the company had debt of $3.7 billion and cash of $1.4 billion. Approximately 40% of the cash was held by United States entities. As a reminder, we have approximately $100 million of remaining tax payments related to the IRS agreement announced in late 2011, which we expect to pay in the second half of 2013. During the first quarter, we repurchased 13 million shares at an average price of $14.30, totaling $190 million. In addition, we paid $70 million of dividends. In March, we also paid off $300 million of floating rate notes when they matured. As of quarter end, we have 559 million shares outstanding and $200 million remaining under the repurchase authorization, which expires at the end of 2013. As a reminder, we expect to generate approximately $900 million of cash flow from operations this year or approximately $1 million excluding the IRS agreement payments. Turning to our expectations for the full year. We are affirming our outlook that we provided in February. As we stated, we expect 2013 to be a transitional year as we implement our strategic actions, and we are making progress. We continue to expect transaction revenue growth to improve sequentially through the year as the pricing and other actions take effect and we drive the business towards our objectives of revenue and profit growth in 2014 and beyond. Laura, we are now ready for the first question.
Operator: [Operator Instructions] And our first question comes from Tien-Tsin Huang of JPMorgan.
Tien-Tsin T. Huang - JP Morgan Chase & Co, Research Division: Hikmet, I heard you mention compliance and regulatory actions a few times. Anything new that wasn't contemplated before? I heard U.K. and Spain, I think. Any other countries that are new that are putting in some changes around remittances? And can you size maybe at a high level what the impact was on transactions, if possible?
Hikmet Ersek: Well, let me give you an overview and maybe I can give it also to Scott and he can be more in detail. But we, as a leading company of -- Western Union, are very committed to compliance, and we see that as a long-term competitive advantage. We do have some short-term adaption on our rules and changing the rules in some countries. It is no secret that the financial service overall gets more regulated. And within that also, we want to be best in class. We create this culture of compliance within our company. And we -- so that's the environment we are in currently, and we see that as a long-term competitive advantage. But we did have some impact in our business like Vigo. Maybe, Scott, you can give a little bit of color?
Scott T. Scheirman: Yes, Tien-Tsin. let me give you a little bit of color. And as Hikmet said, that we're committed to a strong culture of compliance and invest in compliance programs. And let me give you a flavor of maybe some things that have been ongoing, not only in the first quarter but prior quarters, too. We're doing things that really protect the customer and protect the business. It might be things such as real-time risk assessment when the transaction happens at the point-of-sale, verification programs related to high principal transactions whereby we call back the sender and make sure the transaction is appropriate. But as Hikmet mentioned, we believe this will be a long-term competitive advantage for us. Near term, there are some headwinds, but it's the right investment to make in the business. We believe it will be a competitive advantage. And we continue to work towards that. As far as specific models or specific countries, we did mention the U.K. and Spain. Another one I might highlight is Venezuela, where we had to do some things to reenroll or reregister our customers, and we're largely through that in the middle of March -- were, in the middle of March from that standpoint. But we will continue to comply with the letter of the spirit of the law and really see that as a competitive advantage long term.
Tien-Tsin T. Huang - JP Morgan Chase & Co, Research Division: Okay, okay, that makes sense. And just to be clear, these are broader sort of changes that apply to remittances? Or are they changes tied more towards broader payments, if you will? I'm just trying to understand how specific or narrow some of these rule changes are.
Hikmet Ersek: I think it's general, Tien-Tsin. If you look at the regulatory, it starts with consumer protection, which we are very focused on that. It's not only remittances, it's just general. In the U.S., you are more familiar, is the Dodd-Frank issues, also the compliance issues. But also internationally, it's more on the compliance but also consumer protection activity, plus also the regulatory environment, right? I mean, we are fortunate that we are licensed in 200 countries. And so we are working very close to expand our relationship and adopting the regulatory environment. And it's not only in the U.S., it's globally. Everywhere, it's getting more -- all in financial service that general trends to more regulated.
Scott T. Scheirman: Tien-Tsin, everything isn't necessarily black and white in a rule, but we work with regulators in countries around world to try to do the right thing for our business and for our customers.
Tien-Tsin T. Huang - JP Morgan Chase & Co, Research Division: Understood, understood, and that's good to know. Just quickly, just B2B, obviously, up 7. That was a pleasant surprise. We think C2B margin also improved a lot. Curious if both of those metrics are sustainable given what you saw in the first quarter.
Hikmet Ersek: Yes, I think we are very focused. The team is working on the sales and the team is very -- we have a new process. The integration process is still going on, but we are in much better environment. The team is very focused on sales. And I would generally say that quarters may vary depending on the FX rates, everything. But generally, we are on the good path. I'm optimistic that it's a long-term good growth opportunity for Western Union.
Scott T. Scheirman: Yes, Tien-Tsin, I would just add. Compared to 2012, we expect the revenue growth and the margin of the profitability profile of this business unit to improve. And long term, we expect this business to grow revenue in the low double digits. We only have a 2% share today.
Tien-Tsin T. Huang - JP Morgan Chase & Co, Research Division: Right, no, glad to hear, glad to hear. Lastly, I promise, just buybacks, dividends going forward, given your U.S. cash situation. I mean, can you drive your future buybacks and dividends from operating cash flow? Or do you -- are you going to have to tap into the debt markets to do that or borrow to do that?
Hikmet Ersek: Scott, maybe you can jump in. But first of all, we are very committed and glad to see that our strategies are working and we are performing against our strategies. As you know, Tien-Tsin, we are constantly, Scott and I, talking about our capital allocation and we are looking at -- we are constantly talking with the board. And we are very committed on our long-term shareholder value. And Scott?
Scott T. Scheirman: Yes. What I'd add, Tien-Tsin, is that in the fourth quarter, we did buy back about the $350 million of stock. In the first quarter, $190 million. And in 2013, we've been very public about that we'll return about $700 million to our shareholders, roughly $400 million through buyback and $300 million through dividends. It now represents about 8% of our market cap. So pretty healthy return of capital. Specifically, coming back to your question, we do generate -- excluding the IRS payment, we'll make this year about $1 billion of cash flows. Now about roughly 3/4 of that is international, about 25% is U.S. So we do have cash flows from the U.S. that can fund buybacks. But we also have some room on our balance sheet. We're going to continue to target investment-grade credit rating. But we'll continue to have some room there as we think about it. But as Hikmet mentioned, we'll continue to talk with our management team and have periodic discussions with our board. But we have had a rich history of returning capital to our shareholders. We've got a franchise that does generate very strong cash flows.
Hikmet Ersek: Yes, it's a percent of market cap, that's right.
Operator: And our next question is from Darrin Peller of Barclays.
Darrin D. Peller - Barclays Capital, Research Division: You seem to have been showing some good early traction with regard to the pricing changes and elasticity around it. Can you give us a sense, first, how much of the price changes relative to your goal of the 25% of revenue change has actually been completed? And then really as a follow-up to that is how much have you actually marketed around it? In other words, while the changes could have occurred, is there a lot more to go in terms of awareness for your customers?
Hikmet Ersek: Well, Tien-Tsin, if you look at our pricing actions, we are very pleased what happened currently. We implemented about 50% of the pricing actions, which are fully in the market -- starting to execute it. We are marketing it. And still, we started to have 75 initiatives -- 75% of our pricing actions, and more to come in Q2. We are looking by corridor by corridor. We are -- understand the customer needs. And I think the pricing action we put in place are working in high teens. And so I'm very pleased with the actions we're having in the place. And I think they are looking corridor by corridor. And as we outlined in the fourth quarter, we started to do that and it's working. And the learnings are -- we did hundreds of them, and these are the big ones. And we are focused on the issues and they are paying back.
Scott T. Scheirman: Yes. And I would just add, Hikmet, we did start the first quarter with only about 50% of the pricing actions implemented. By the time we got to the end of the first quarter, about 75%. And those pricing actions that we just put in place in the fourth quarter drove low-teens transaction growth. And so we continue to see more traction being built, more awareness being built. We'll continue to push more behind the marketing programs. And we expect those pricing actions to gain momentum and accelerate as we move through the quarters.
Darrin D. Peller - Barclays Capital, Research Division: That's helpful. Do you believe that the 25% number you originally quoted is still on tack? In other words, is it still just 25% of the business? Or is there any more than that now?
Hikmet Ersek: No, I think it's the 25%. We do it. We affirmed also the 2013 numbers. As you know they're in and I believe we're going to have a strong growth here, transactions growth, as projected Q1 numbers looks like very good. I mean, the rest of the corridor is business as usual. As you know, we do hundreds of them. We have 16,000 corridors globally. And our teams on the field are looking on that. So I don't see any additional pricing action -- investment than we said in last quarter from today's point of view.
Darrin D. Peller - Barclays Capital, Research Division: Okay. And just one quick follow-up, and then I'll turn it back to the queue. But on the online business, have there been any more -- how substantial are the pricing changes online? And have there been any promotions going on, let's call it, like 1 month free for a certain corridor, something along those lines? And if so, I mean, is that -- how long is that? Is that a way to just operate the business because once you gain customers online, they stay, they're sticky and they stay with you?
Hikmet Ersek: Absolutely, Darrin. You are absolutely hitting the right point here. First of all, it's all about customer acquisition. We have 100 -- last year, we had $150 million revenue business. And I think we are expanding very fast. The strong growth on the transactions is the customer acquisition. And we see, once customers begin with us, they use us more. And we are still on track with our $500 million 2015 goal in revenue. And I think it's a great business. I think the team is doing a great job. I mean, even in the U.S. -- even in U.S., we are growing 70% transaction-wise. Globally, we are growing -- westernunion.com is growing 60%. So that's great numbers.
Operator: And our next question is from Bryan Keane of Deutsche Bank.
Bryan Keane - Deutsche Bank AG, Research Division: I know we talked about, this year, pricing for the C2C business to be down 6% to 7%. Now that you've gone through a lot of the pricing actions and are 75% through, does that look like the right number? Do you think it'll be -- does it have to be more than that? Or is that right on track to be what -- you're getting what you expected?
Scott T. Scheirman: Bryan, it's tracking well to our expectations. Our pricing initiatives to improve our consumer value proposition are working. So as we communicated about 90 days ago, it's about 5% of our total company revenue, $300 million, or to your point, 6% to 7% of our C2C revenue from that standpoint. So we're seeing good progress in Mexico, from Europe to Africa, in the digital business. And again, I would say pricing is just one driver of how we're going to grow the business. We're going to add more locations. We're going to expand westernunion.com. We're going to evolve our product offerings so we can drop funds in the bank accounts and so forth. But what we feel like is the pricing we set is in the right range. And then longer term, we feel like we're going to be in that 1% to 3% range as we turn the calendar to 2014.
Hikmet Ersek: Yes. I just want to add on that, Scott. Bryan, as you know the business very well, its pricing is not the only thing we do. I'm very pleased with our expansion policy also on the network. I mean, we have more than 600,000 touch points if you exclude -- include also ATMs here. And recent signings, 10,000 additional locations are coming in Mexico. And that's doubling our Mexico network. Also, Egypt is a huge signing and Carrefour in Argentina. I think these are big signings coming and also more to expect to come. The teams are focused, and that will give us also the expansion and getting -- gaining more transactions.
Bryan Keane - Deutsche Bank AG, Research Division: Okay. No, that's good to hear. And then just, Hikmet, it sounds like we've troughed in the transaction growth numbers. You expect them to improve in the second quarter and then improve especially in the back half of the year. Just your confidence level. I know that I've asked that question before, but I think it's key to see the transition. Are you -- how confident are you that the transaction numbers will start to turn? Because you've had a full quarter, well, at least a partial, a pretty good sized quarter to see the pricing actions take place. But the key to the story now is going to be to see the transaction numbers get better and that the first quarter was the trough.
Hikmet Ersek: Yes, I'm glad you're asking that question, Bryan. I am very confident about that. And the transaction -- we -- don't forget, as I mentioned earlier, only 50% of the pricing actions has been implemented in the market and 75% just started to be activated. And the early signings are very, very much looking very positive that -- as you know, usually, after 12 months, the revenue also picks back and comes back. One of the biggest we did that 3 years ago at DMT pricing actions and it came back revenue. I am very confident that 2014 and '15 will be a great growth years on revenues.
Bryan Keane - Deutsche Bank AG, Research Division: Okay. Last question for me. I guess, Scott, just when you're talking about some of these compliance changes, I know that's been going on throughout the world over the last probably couple of years, almost. But I noticed the guidance didn't change. So it doesn't seem like there's any change in the guidance due to kind of that ongoing kind of regulatory compliance issues that are out there.
Scott T. Scheirman: Yes, Bryan, you're right. We reaffirmed our guidance today. And again, the regulatory environment continues to evolve and change. And it's based upon what we know today as we reaffirm our guidance and so forth. But our goal is to comply with the letter and spirit of the law, have best-in-class compliance programs and really protect our customers and protect our businesses. Near term, it has been a little bit of a headwind. But we think that longer term, it will put us in a better competitive position.
Bryan Keane - Deutsche Bank AG, Research Division: Do you think those comps get easier in 2014 for those -- on a year-over-year basis for those compliance and regulatory charges?
Hikmet Ersek: Bryan, I think the general financial service industry is getting more regulated, and we are very focused on that. I think we have a great compliance team in place, and they are working hard. Generally, I see also being a market leader here as a competitive advantage. It's one of our investments. We don't see that as a cost or something, it's our investment to protect our customers and protect the company brand. I believe that's going to be a competitive advantage long term.
Operator: And the next question is from Sara Gubins of Bank of America Merrill Lynch.
Sara Gubins - BofA Merrill Lynch, Research Division: Have you seen any pricing reaction from competitors at this point? And do you have any sense where you're beginning to see the traction in transactions? Do you have any sense of where you're taking share from?
Hikmet Ersek: Sara, generally, as you know, we have competition always. And as you know, this business is so complex. In 200 countries, we always have corridor specialists. Competition is always there. But on the big thing and the actions, where we've put in place, we did not see big competition reaction here yet. And we feel confident that we're going to gain market share there and we are going to transfer -- have more transactions. We see good pricing actions on U.S. to Mexico. We see U.S. to also Latin America corridors. And we do see Europe to Africa. And especially, our online transactions are growing very well. I mean, as I said, 60% growth in westernunion.com, 45% growth in electronic money transfer, account-based money transfer. These are good numbers. So where we put pricing and where we also expanded our network availability. I mean, you have to -- especially in dotcom, it also needs the physical location to send money. And that's -- you can send money from 23 countries to 200 countries via Western Union in minutes. So that's a big competitive advantage.
Scott T. Scheirman: And the color I would add, Sara, is where have we taken market share. I'll give you a couple of data points. But Mexico, it's early days. But when you look at the first quarter, we grew at 9% with our brand, and Banco de Mexico reported the market for January and February had been down a couple of points. So we're gaining share there. When you think about Digital, Digital being up 60%. We know the electronic market's growing a little bit faster than the other market, but growing 60%, we're clearly taking share. And 80% of those customers are new to the franchise.
Sara Gubins - BofA Merrill Lynch, Research Division: Okay, great. And then separately, do you have any sense of how long it will take to get reported transaction growth in Mexico to turn positive as you benefit from the lower pricing?
Hikmet Ersek: Well, I mean, in Mexico business, in total, we have also Vigo and Orlandi Valuta, which would impact our transactions. And that's -- as you know, we believe that, that will take a few quarters to overcome that. But on the westernunion.com -- Western Union branded transactions, I believe that we are going to continue to grow our transactions. And our revenue will usually catch up about 12 to 18 months. And so that will be approximately the timing, right, Scott?
Scott T. Scheirman: Yes, yes. What I'd say on the transactions, if you will, the Western Union brand is already positive. It's growing 9% in the first quarter. And then the key thing we have to do, Sara, is we have to anniversary the Vigo and OV compliance issues we had in the third quarter of '12, where we took down 7,000 locations. So if you will, think about the fourth quarter for total company and transactions growing.
Operator: And our next question is from David Togut of Evercore Partners.
David Togut - Evercore Partners Inc., Research Division: Could you quantify the actual physical agent locations at the end of the March quarter and how much they were up or down year-over-year?
Hikmet Ersek: We had 515,000 locations, and we added 20,000.
Scott T. Scheirman: Yes, compared to a year ago, we had 495,000. So we're up about 20,000 locations in the last past year, if you will. I think what's important is not only the locations that we've added, David, but we've got some rich pipeline, whether it's the bank in Egypt or in Mexico, where we're going to bring probably within a year, bring on another 10,000 locations online. We've got a good pipeline with signings, too.
David Togut - Evercore Partners Inc., Research Division: I see. And then sticking to agents for a minute, can you quantify for us the increases in agent commission rates that you started to institute 1 quarter or 2 ago?
Hikmet Ersek: As you know our business, David, it depends on the year and quarterly agent renewals, right? Generally, not every agent renewal is in 1 year. It's spread over the years. It depends on the year. We had some increase on the CapEx this year due to agent signing bonuses. But generally, I would say that we are very focused on the agent commission and on our cost of services. I believe long term, we believe it will go down. And it's a win-win situation, right, David? I think -- but long term, we are very focused also to look at our variable costs.
David Togut - Evercore Partners Inc., Research Division: Would you expect agent commissions to go up this year as a percentage of revenue?
Scott T. Scheirman: David, we are somewhat, if you will -- from our Q1 remarks, agent commissions did not impact the margins in the first quarter. So they were flat, if you will. We did renegotiate some agreements, primarily in the U.S., to really increase our competitive position. So we do expect that to pick up somewhat. But as we reaffirmed our guidance and in having approximately 20% margins, it's all baked in there.
David Togut - Evercore Partners Inc., Research Division: A quick final question on capital allocation, Scott. When does the board next take up the future dividend policy?
Scott T. Scheirman: Yes. Well, let me first talk about our philosophy and then -- and specifically to the board. But our goal is to have a balanced payout between buyback and dividend. And our goal with the dividend is to grow the dividend consistent with our business performance. And with that said, we did a large dividend increase in October, about 6, 7 months ago. And Hikmet and I periodically have discussions. We have 4, 5 board meetings a year. So we periodically have discussions with our board. And we'll continue to allocate our capital to invest in our business but also to get cash back to our shareholders. So it's probably worth repeating that our goal is to grow the dividend consistent with the business performance.
Hikmet Ersek: I think it's 3.5% currently with...
Scott T. Scheirman: Yes, it's about 3.5% yield on the current stock price.
Operator: And our next question is from James Friedman of Susquehanna.
James E. Friedman - Susquehanna Financial Group, LLLP, Research Division: Scott, you had mentioned some of the new capabilities on wu.com. wu.com transactions accelerated, on my math, about -- was that 60% from 40%? Could you elaborate on what the source of some of the transaction volume acceleration might be?
Scott T. Scheirman: Sure. We're very pleased with that business. In fact, Hikmet and I were in San Francisco last week, and the business team continues to perform really well there. So we're very excited. But there's a number of things that are driving it. One, I would say our pricing actions are helpful, that we have a strong consumer value proposition. We've also enhanced the website, if you will. So if you have an opportunity to use it from a consumer standpoint, the flow, the pages are better. It's more intuitive. We're also giving our customers -- we're not fully implemented yet, but giving our customers more options of how to pay in or pay out from a cash standpoint. And we continue to get more sophisticated from a risk management standpoint. So all of those things are helpful. It's hard to point to any one thing in particular. But all of those things are helpful. And we'll continue -- the good news is there is even more progress that we can make behind those. And that gives us confidence of being at a $500 million business top line in 2015. And I've said it, but it's worth repeating, that 80% of the customers are new. So we're attracting new customers into the franchise.
Hikmet Ersek: One thing I would like add on that also, don't forget that we are in 23 countries, currently originating westernunion.com transaction to 200 countries. As we speak, James, the team -- we just came from San Francisco. We just got back. The team is expanding new countries -- to new countries, and that will also gain -- have even a stronger transaction growth long term.
James E. Friedman - Susquehanna Financial Group, LLLP, Research Division: With regard to the $500 million target in 2015, I was just wondering, what happens then?
Scott T. Scheirman: Well, we want to grow further from there. That's just -- in my view, just the starting point is $500 million. We know the electronic market is growing a little bit faster than the other markets. We're growing at 60%. But again, we think there's a lot of opportunity to grow there, that we're seeing new customers come in. We can leverage our brand, leverage our global footprint. And where we're excited is we want to offer more payment capabilities such as a same-day ACH, we're not there. Or being able to drop money into a bank account around the globe. So the $500 million is just a data point, 2015, but we've got aspirations to grow well on that.
Hikmet Ersek: Yes. I think it also reminds me on the retail Money Transfer. As we build the retail Money Transfer, we expanded country by country by country. And as we do the retail Money Transfer expansion, the same goes with the westernunion.com expansion. And combining these 2 things, I think it's a huge opportunity also for the future.
James E. Friedman - Susquehanna Financial Group, LLLP, Research Division: Last thing for me, with regard to the new Mexico affiliates, this is encouraging to see you investing in that market again. I was just wondering, are those arrangements exclusive? And if that's not the appropriate question then, could you talk about who you may have taken those relationships from?
Hikmet Ersek: Well, as you know, parts of them -- I can't go into details, but parts of them are we have good, strong -- let me leave it there. We have good, strong relationship. More to come on that, more in detail. For competitive reasons, I don't want to talk about the details of the agreement. But I'm very confident that we did the right steps. We worked very hard. And I personally was there last week, and I'm very confident that we are -- you're going to see more growth coming from Mexico.
Operator: And our next question is from Ashwin Shirvaikar of Citi.
Philip Stiller - Citigroup Inc, Research Division: It's Phil Stiller on for Ashwin. I guess I wanted to first ask about the margins, which were better than we expected. Scott, how much of that was due to timing of some of the onetime investments you were planning to make in the quarter versus kind of sustainable actions in terms of simplifying the business over time? And how should we think about the progression of the onetime costs as we move through the year?
Scott T. Scheirman: Sure. Phil, it was really -- it was primarily timing, if you will, of some of our investments but also our cost savings initiatives, the cost related to those. So as you recall from the call, we did reaffirm the full year EPS and the approximate 20% margins, if you will. Our cost savings programs are tracking well. In fact, we expect to spend about $45 million in 2013. And Phil, I'd have you think probably more so in the second and third quarter, where you'll see a lot of that being spent with our actions. That will generate about $30 million of savings in 2013, and importantly, if not more importantly, about $45 million in savings in 2014. So we're tracking well there.
Philip Stiller - Citigroup Inc, Research Division: Is that $45 million number different than what you've said in February? I thought we had $65 million.
Scott T. Scheirman: No. Let me give you the color. The $45 million is the same. We also will incur $20 million of Travelex integration expenses in 2013. We don't expect that $20 million to repeat in 2014. That's probably where you came up with the $65 million.
Philip Stiller - Citigroup Inc, Research Division: Understood, okay. On the -- going back to the transaction trends. Do you guys have any data that would be helpful in terms of understanding the momentum through the quarter, either by month or what you've seen through April so far, so we could get a sense of how the pricing actions are gaining traction?
Scott T. Scheirman: Yes. Probably as you know, Phil, consistent with our past practices, because of calendar impact and other things, we don't necessarily talk about any given month or the month that we're in as we release earnings. But what we've seen through the first quarter, through April, clearly gives us confidence, early indications that our plans are working. We're seeing those markets we priced in the fourth quarter with high-teens -- or I'm sorry, low-teens transaction growth. And we reaffirmed our guidance today. So we're tracking well to our expectations on the plan with pricing.
Philip Stiller - Citigroup Inc, Research Division: Okay. And then last question on the buyback. I mean, you did a lot in the first quarter. Should we expect it to be a little more ratable as we move through the course of this year? And what was the share count at the end of the quarter?
Scott T. Scheirman: As far as the buyback, we did buy back 350 million in the fourth quarter, 200 million -- or 190 million in the first quarter. We have 200 million remaining. So we will take a number of things into consideration as far as uses of our capital, other factors from that standpoint. Hikmet and I continue to have dialogue with our board around buyback and capital deployment. So we'll continue to deploy the capital. We think given where the stock price is at, it's a good investment, if you will. To your question on how many shares were outstanding, we have 559 million shares outstanding at the end of the quarter.
Operator: And our next question is from Julio Quinteros of Goldman Sachs.
Julio C. Quinteros - Goldman Sachs Group Inc., Research Division: On the principal transaction account and principal mix, can you just talk a little bit about what drove that, the slight dip there on the principal? I think you guys you mentioned something on the call. I might have missed it upfront.
Scott T. Scheirman: You're looking at principal per transaction? Is that what you're asking, Julio?
Julio C. Quinteros - Goldman Sachs Group Inc., Research Division: Yes, yes, yes, sorry.
Scott T. Scheirman: It was down 1%, although when you look at the last 3 or 4 quarters, that's an improvement where it was down 3%, down 2%. So some of the pricing actions that we've done, we've seen some new customers enter the high principal bands. And so we've seen some -- in certain quarters, some uplift with the higher principal bands, but that is actually trending a little bit more favorable compared to what it was the last 2 or 3 quarters.
Julio C. Quinteros - Goldman Sachs Group Inc., Research Division: Okay, got it. And then looking at the percentage of revenues. I think you guys disclosed a eChannels versus a wu.com segment. What's the difference between those 2? Like what other revenue contributors would be in the eChannels versus the wu.com revenues?
Scott T. Scheirman: Yes. In the eChannels, it's 4% of revenue. If you just look at westernunion.com, it's 3%. So the simple delta is account-based Money Transfer. That business was up 45% in the first quarter. But it represents about 1% of our revenues. So westernunion.com is 3%, account-based is 1%, gives you the 4%.
Hikmet Ersek: 4%, yes. Electronic Money Transfer, Julio, as you recall.
Scott T. Scheirman: Through the bank, over on the online banking platforms.
Julio C. Quinteros - Goldman Sachs Group Inc., Research Division: And then just lastly, profitability on Business Solutions. Is there a target for the year when you guys expect to see that turn profitable again?
Scott T. Scheirman: Well, we're pleased with where we've been. If you just take the first quarter EBITDA and if you exclude integration costs, the margins were up 14%. Comparable period a year ago, the margin was 8%. So we've made good progress. Our goal in that business is to improve the profitability in 2013 compared to 2012. And longer term, as we've mentioned, we believe this business can grow in the low double digits and can have EBITDA margins comparable to the company. So we'll kind of take it one quarter at a time. But we do like the revenue growth we saw. We like the profitability improvement. And we think it's a very leverageable business model from a scale standpoint.
Operator: And our final question today will come from Jason Kupferberg of Jefferies.
Jason Kupferberg - Jefferies & Company, Inc., Research Division: Just a follow-up question on wu.com. As we think about 2014 and 2015, as you guys march towards the $500 million target, which is encouraging to hear you reiterate that, are you assuming stable pricing, more or less, for wu.com beyond 2013 as part of that $500 million target?
Hikmet Ersek: As you know, Jason -- thank you for asking the question. I think that's a great question. We are currently only on 4,500 corridors with our westernunion.com. As we expand to the corridors, we always adapt our pricing corridor by corridor, as you know, and that may change. But I would say that generally, we have the right pricing now that attracts so many transactions. And I know that the customer, once they join us, they use us much more often. So I believe that the pricing strategy is in the right moment. And as we expand to new countries, we will adapt our pricing to the countries. And I think it's, long term, a profitable business. Especially -- today, we are using the credit card payments mostly. And once we also adapt our payments via comp payments, we have also lower interchange fee. And on the send side, we don't have the agent commission. So I think it's -- long term, it's a very, very profitable, very great business.
Jason Kupferberg - Jefferies & Company, Inc., Research Division: Yes, the reason I asked, just thinking ahead about the pricing, obviously, the gap is huge right now between revenue and transaction growth because of the price cuts. And I know you had a tough comparison on revenue growth here in Q1. It just -- it seems like even if you accelerate the full year revenue growth in wu.com this year to, I don't know, call it 25% or so, from 13% in Q1. I think you still need a CAGR north of about 60% over 2014 and 2015 to get to the $500 million bogey. But it sounds like a lot of that growth, you would expect to come not necessarily from just more transactions and revenue in the existing markets, but as you had alluded to earlier, just expanding wu.com to a lot more countries. That's clearly part of the story here?
Hikmet Ersek: Yes, Jason, yes, you're absolutely right. I think by expanding -- and I think we have a roadmap, and we are checking this monthly and daily against our $500 million goal. And we are reconfirming the goal of $500 million again.
Jason Kupferberg - Jefferies & Company, Inc., Research Division: Okay. And then just one last one for me. I think in the past, you've made some general comments that Western Union carries approximately a 20% or so price premium to the competition. And obviously, that varies by corridor. But curious kind of how that figure looks after all of the current price cuts are implemented. And would that current or new premium be more or less sustainable over the longer term based on how you see the market right now?
Hikmet Ersek: I think yes, we deserve a premium because of -- given our global reach, given our quality, given the protecting the customer brand. I think our brand deserves a premium. And don't forget that we don't do everywhere-pricing, right. In certain corridors where we have to adjust the numbers. And I believe that we deserve a premium price and that it's going to continue.
Michael A. Salop: Okay. Well, thanks, everyone, for joining us for the call today. And have a good afternoon. We'll talk to you soon.
Hikmet Ersek: Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.